Operator: Hello, and welcome to the Iterum Therapeutics First Quarter 2024 Financial Results and Business Update. My name is Carla, and I will be operating the call today. [Operator Instructions]. I will now hand over to your host, Louise Barrett, Senior Vice President of Legal Affairs to begin. Louise, please go ahead. 
Louise Barrett: Thanks Carla. Good morning, and welcome to Iterum Therapeutics' First Quarter 2024 Financial Results and Business Update Conference Call. A press release with our first quarter results was issued earlier this morning and can be found on our website.
 We are joined this morning by our Chief Executive Officer, Corey Fishman; and our Chief Financial Officer, Judith Matthews. Corey will provide his opening remarks. Judith will provide details on the financial results and then we'll open the lines to Q&A.
 Before we begin, I'd like to remind you that some of the information presented on this conference call will contain forward-looking statements concerning our plans, strategies and prospects for our business, including the development, therapeutic and market potential of oral sulopenem, our ability to address the deficiency set out in the complete response letter received from the FDA in July 2021, the expected timing of review of the resubmitted NDA by the FDA, potential action by the FDA with respect to the resubmitted NDA, the sufficiency of Iterum's cash resources to fund its operating expense into 2025 and our strategic process to sell, license or otherwise dispose of our rights to sulopenem to maximize stakeholder value.
 Actual results may differ materially from those indicated by these forward-looking statements as related to various factors outside our control, including uncertainties inherent in the design, initiation and conduct of clinical and nonclinical development, changes on regulatory requirements or decisions of regulatory authorities, the timing or likelihood of regulatory filings and approvals, changes in public policy or legislation, commercialization plans and time lines of oral sulopenem as approved, the accuracy of our expectations into the future, our cash in hand will follow our ongoing operations; our ability to maintain our listing on the NASDAQ capital market, risks and uncertainties concerning the outcome impact, effects and results of our pursuit of strategic alternatives, including the terms, timing, structure, value benefits and costs of any strategic process and our ability to compete one at all and then other factors issued the caption Risk Factors in the quarterly report on Form 10-K filed with the SEC this morning.
 In addition, any forward-looking statements represent our views as of the date of this call and should not be relied on us to represent these as of any subsequent date. We specifically disclaim any obligation to update such statements. We will also be referencing non-GAAP financial measures during the call. We have provided reconciliations of GAAP reported to non-GAAP adjusted information in the press release issued this morning. With that said, I'll turn it over to you now, Corey, for your opening remarks. 
Corey Fishman: Thanks, Louise. Welcome, and thanks for joining us today. As you may know, we have recently resubmitted our new drug application to the FDA. We are very pleased to have accomplished this resubmission within just 3 months of announcing our positive top line results from our REASSURE clinical trial. We believe that the strong results from this trial which was conducted under a special protocol assessment agreement with the FDA, addresses the FDA's recommendations for additional data to support approval of oral sulopenem for the treatment of adult women with uncomplicated urinary tract infections.
 The potential approval of sulopenem, which could occur early in the fourth quarter of 2024, would mark the first oral penem approved in the U.S. and the second new oral treatment for uncomplicated urinary tract infections in over 25 years. We believe that the sulopenem data we have generated shows that sulopenem would be a safe and effective treatment match. We are encouraged by recent comments from the Director of the Division of Anti-Infectives in the FDA's Center for Drug Evaluation and Research, who stated, "The FDA is committed to fostering new antibiotic availability when they prove to be safe and effective." We look forward to working closely with the FDA during our review period.
 Lastly, as we look at our cash as of March 31, we had $18.2 million in cash and cash equivalents. Based on our current operating plan, this amount provides a cash runway into 2025, including through the expected PDUFA date in early Q4. I'll now turn it over to Judy for information on our financial results. 
Judith Matthews: Thanks, Corey. Total operating expenses were $6.2 million in the first quarter of 2024 compared to $8.5 million in the first quarter of 2023. Operating expenses include research and development expenses and general and administrative expenses.
 R&D costs were $4 million for the first quarter of 2024 compared to $6.4 million for the same period in 2023. The primary driver of the $2.4 million decrease in R&D expense for the first quarter was primarily due to higher costs incurred in 2023 to support our REASSURE trial, which began enrollment in October 2022 and completed enrollment in October 2023.
 G&A costs were $2.2 million for the first quarter of 2024, which is $100,000 higher than G&A costs of $2.1 million in the first quarter of 2023, due primarily to an increase in legal fees and an increase in consultants used to support pre-commercialization activity. Our net loss on a U.S. GAAP basis was $7.1 million for the first quarter of 2024 compared to $9.9 million for the same period in 2023.
 On a non-GAAP basis, which excludes certain noncash adjustments, our net loss of $5.8 million in the first quarter of 2024 compared to our non-GAAP net loss of $7.4 million in the first quarter of 2023. The $1.6 million decrease in our non-GAAP net loss for the first quarter was primarily a result of lower R&D expenses related to our REASSURE trial as enrollment of the 2,222 patients in this Phase III trial was completed in October 2023.
 At the end of March, we had cash, cash equivalents and short-term investments of $18.2 million which based on our current operating plan will provide a cash runway into 2025, including the potential FDA approval expected early in the fourth quarter of 2024. In April 2024, we resubmitted to the FDA the NDA for oral sulopenem for the treatment of uUTI and expect the FDA to assign a PDUFA date early in the fourth quarter of 2024.
 As of April 30, 2024, we had approximately 16.6 million ordinary shares outstanding. Also as of the end of April 2024, we had approximately $11.1 million of exchangeable notes outstanding, which can be exchanged at the option of a noteholder for approximately 2 million shares. If the notes are not exchanged, we will be obligated to pay the noteholders $11.1 million plus accrued interest in January 2025. Now I will turn it back over to Corey for some closing comments. 
Corey Fishman: Thanks, Judy. We'll go ahead and open up the line for questions now. 
Operator: [Operator Instructions]. Our first question comes from Jason McCarthy from Maxim Group. 
Michael Okunewitch: This is Michael Okunewitch on the line for Jason. I guess to start off, just with the BLA resubmitted. Can you remind us of what the original deficiencies noted in the prior CRL? And then why you're confident that the new NDA package addresses those? 
Corey Fishman: Yes. We -- this is Corey. The original CRO was pretty straightforward and just saying, we didn't -- we, the FDA didn't think that you had provided enough data to approve the drug. And what they said was they would request at least one more Phase III study. And so we had pretty extensive conversations with the agency about that other Phase III study and eventually put in place a special protocol assessment agreement, a SPA agreement with them to address that basic deficiency of them feeling like there wasn't a sufficient amount of data and put together a pretty substantial study.
 As you saw, over 2,200 patients. We feel very confident that addresses their underlying question of was there enough data here? And we feel particularly based on the results of that study, which showed not only that we hit our primary endpoint of noninferiority to our comparator Augmentin. We also showed statistical superiority to augmented in that augmented susceptible population feel very confident that we have provided sufficient data for them to approve the drug. 
Michael Okunewitch: And then I'd like to see if you could provide just a bit more color on the strategic review process. When -- and when you think a sale or a license agreement could be finalized? Just thinking in broad stroke, is this something that would make most sense post an approval decision? Or is that something that could be finalized leading into that? 
Corey Fishman: Yes. As we've said publicly, we aren't going to comment on the process in terms of anything that's ongoing. What I would tell you is the process is ongoing. We continue to have discussions. And as soon as there's something that is disclosable, we obviously, we'll go ahead and disclose it. But I think that's probably sufficient on that topic. 
Michael Okunewitch: All right. And then one last one is more of a modeling question. Are you still incurring final cost from the REASSURE trial? Or should we expect to see the R&D expense fund continue to come down in the next quarter or 2? 
Judith Matthews: This is Judy Matthews. Yes, it should come down some more there. We are done at recurring costs for that trial. 
Michael Okunewitch: All right. Congratulations on all the progress. 
Operator: Our next question comes from at us from Ed Arce from H.C. Wainwright. 
Wing Yip: This is Thomas asking a couple of questions for a Ed. So first question, given the FDA approval of PDL for uncomplicated UTI last month. How do the inversion sulopenem's profession in the market? And also, can you discuss any points of differentiation between the 2 assuming sulopenem received the approval later this year? 
Corey Fishman: Yes. So yes, Pivya got approved by the FDA in the end of April. We aren't quite sure based on public disclosures, what the timing of the launch is and I don't think they have talked about that as a test. And what we've always said, Thomas, is we believe that given the market size and particularly our positioning within the market. And that positioning, as we've said for many years now is for elevated risk patients. We believe we have a very solid position to work from irrespective of any new entrants.
 And again, there could only be potentially 2 over the next few years, that would be Pivya and also GSK has said that they would potentially file their new drug in the end of second half of this year. So we feel really good about our positioning. We estimate the market to be about 40 million prescriptions annually. And of that, we think our addressable market with elevated risk patients is about 2/3 of that. So a very large market. And given that we're a penem antibiotic, we have a very solid reputation in terms of the class of drug and we believe that there will be a very strong response physicians to wanting to use something like a sulopenem or those high-risk patients.
 So we feel very good that we have got a very solid position. I don't believe that's where Pivya or GSK's product will be playing primarily. And therefore, I feel very comfortable in a scenario where both -- if they both make it to market and launch, we feel that we've got a very good commercial position for that. 
Wing Yip: Understood. And then perhaps one follow-up. I know you mentioned earlier that the strategic action exploration is still ongoing. What -- independently bringing sulopenem to the market, would that be an option on the table? 
Corey Fishman: Yes. As we've said, our priority is a strategic transaction. And we will prepare to the best of our ability to bring it to market independently over time if the strategic process doesn't result in something that the Board feels maximizes value for the shareholders. So again, it is not our priority with regard to how we're thinking today, but it certainly is a potential down the road. 
Wing Yip: Understood. And we look forward to the particular date later this year. 
Operator: We currently have no further questions. I will hand back over to Corey Fishman for any final remarks. 
Corey Fishman: Thanks, Carla. We appreciate you joining us today. We're very excited about working closely with the FDA during the review period of our new drug application resubmission and we're looking forward to potentially bringing sulopenem, an important treatment option to physicians and patients in the underserved markets of uncomplicated urinary tract infections. Thanks very much, and have a great day. 
Operator: And that concludes our conference call. Thank you for joining. You may now disconnect your lines.